Adam Godderz: Good morning, everyone, and welcome to Euronet's Third Quarter 2025 Earnings Conference Call. On the call today, we have Mike Brown, our Chairman and CEO; as well as Rick Weller, our CFO. Before we begin, I need to call your attention to the forward-looking statements disclaimer on the second slide of the PowerPoint presentation we will be making today. Statements made on this call that concern Euronet's or its management's intentions, expectations or predictions of further performance are forward-looking statements. Euronet's actual results may vary materially from those anticipated in these forward-looking statements as a result number of factors that are listed on the second slide of our presentation. In addition, the PowerPoint presentation includes a reconciliation of the non-GAAP financial measures we'll be using during the call to the most comparable GAAP measures. Now I'll turn the call over to our CFO, Rick Weller.
Rick Weller: Thank you, Adam, and good morning, everyone. Thank you for joining us today. I'll start my remarks on Slide 5. We delivered revenue of $1.1 billion, operating income of $195 million, adjusted EBITDA of $245 million and adjusted earnings per share of $3.62. Revenue growth was below our expectations due to softness in certain areas of the business, which we believe was largely attributable to macroeconomic and policy decisions surrounding immigration around the world. However, the diversity of our business model, share repurchases during the year and effective expense management allowed us to offset those impacts and deliver another quarter of solid results. Finally, I want to highlight that our consolidated operating margins expanded by approximately 40 basis points over the prior year quarter. Next slide, please. Year-over-year, most of the major currencies we operate in strengthened compared to the dollar. To normalize the impact of currency fluctuations, we have presented our results adjusted for currency on the next slide. I'm now on Slide 7. Our EFT segment delivered another good quarter, where revenues grew 5%, operating income and adjusted EBITDA, each growing 4%. While results were somewhat lighter than expected, the business continues to drive growth, led by continued expansion in developing markets such as Morocco, Egypt and the Philippines, where we are expanding services, adding ATMs and strengthening banking and fintech relationships. Our merchant services business in Greece also delivered its strongest quarter since the 2002 acquisition with operating income up 33% year-over-year, driven by robust transaction volume and continued merchant expansion. Across Europe, travel volumes remained steady through the summer, supported by sustained demand for leisure travel. According to the European Travel Commission's report, overall tourism in Europe grew approximately 3.3% year-over-year. At the same time, Reuters noted that tourism related sales in Spain grew about 3%, roughly half the pace of the prior year as visitors curtailed discretionary spending on leisure and dining. Taken together, these reports highlight somewhat of a mixed picture across Europe. While consumer demand -- travel demand remains solid, spending patterns were more selective. Even so, our EFT business outpaced the broader European trend, growing about 5%. Although this remains slightly below our expectations, our broader geographic diversity, steady travel activity and continued network expansion position us well for sustained growth and resilience heading into year-end. In our epay segment, revenue declined by approximately 5% compared to the prior year, while operating income increased 4% and adjusted EBITDA 2%. The reduction in revenue reflects a shift within our wholesale mobile top-up business, where a high-volume, low-value product exited the portfolio. While this change reduced top line revenue, it only marginally impacted our operating income. Moreover, its impact was largely contained to the third quarter and accordingly, will have no meaningful impact on future quarters. Excluding this product discontinuance, our constant currency revenue would have grown at a rate similar to the operating income, constant currency growth rate. Our core digital content and payment processing activities remain stable and continue to provide a solid foundation for future growth. Money Transfer revenue grew 1% year-over-year, while operating income and adjusted EBITDA decreased by 2% and 1%, respectively. Revenue growth was driven primarily by a 32% increase in direct-to-consumer digital transactions, reflecting strong -- continued strong demand for our digital money transfer products. However, this growth was partially offset by softer transaction volumes across certain corridors. Mixed information on global economic uncertainty and recent immigration policy changes in the United States as well as in other areas of the world have slowed migration inflows and reduced remittance activity in key money transfer sending markets. According to Reuters, remittances to money to Mexico declined more than 12% year-over-year in mid-2025, underscoring how this shift -- how shifts in immigration policy can impact transaction volumes in real time. Remittances between the U.S. and Mexico represent approximately 1/4 of our U.S. remittance flows and only about 1/10 of our global transfers. This quarter, our U.S. to Mexico corridor was flat year-over-year. It's somewhat of a bittersweet feeling to have flat year-over-year growth to Mexico, bitter in that Reuters estimates a 12% year-over-year decline, but sweet in that our Money Transfer business outperformed the market by 12%. Interestingly enough, that's consistent with how Ria has performed over the last 18 years. It's this strength that gives us confidence for solid future growth. Operating income and adjusted EBITDA also reflected incremental year-over-year marketing investments to support continued expansion of our digital business and the Dandelion product. Despite some pressures, we believe solid third quarter consolidated -- we delivered solid third quarter consolidated earnings. And as we look to the fourth quarter, we expect to finish the year with year-over-year earnings growth to be generally similar to the third quarter, thereby supporting our confidence of being within the range of 12% to 16% year-over-year earnings growth as we previously provided. Next slide, please. Slide 8 presents a summary of our balance sheet compared to the prior quarter. As you can see, we ended the third quarter with $1.2 billion in unrestricted cash and debt of $2.3 billion. The decrease in cash is largely due to stock repurchases, offset by cash generated from operations. Cash returned from ATMs following the summer season peak and working capital fluctuations. In the third quarter, we completed a $1 billion convertible bond offering at an attractive interest rate of 0.625% maturing in 2030. The proceeds were used to pay down the majority of our revolving credit facility. This transaction strengthens our financial flexibility to invest in growth opportunities across our payments, money transfer and digital asset infrastructure initiatives. As we think about capital allocation, we look to maintain a debt level commensurate with an investment-grade rating, acquiring growth driving businesses in line with our digital initiatives and share repurchases. As for share repurchases, including the shares we've repurchased we made through the first 9 months of this year, we have repurchased on average, approximately 85% of our annual earnings over the past 4 years. Said differently, 85% of the earnings have been returned to shareholders through share repurchases. In this quarter, we repurchased approximately $130 million of our shares. These repurchases were beneficial in a number of ways, including the stabilization of our share price on the day of marketing the bonds and offset against any future dilution of convertible shares, which I sure would like to see happen. And finally, a locked-in pretax ROI of approximately 13%, given consensus 2025 adjusted EPS. With that, I'll turn it over to Mike.
Michael Brown: Thank you, Rick, and thank you, everybody, for joining today. In the third quarter, we delivered adjusted earnings per share growth of 19% year-over-year, another quarter of double-digit earnings growth. As Rick mentioned, that keeps us on track to deliver our 12% to 16% 2025 earnings growth. This quarter's performance reflects effective execution across many areas of our business, and you'll know I'll call out some of those wins in just a minute. But I also think it is important to note that our growth was tempered by lighter-than-expected revenue across all 3 segments. As we inspected our business, it became clear that the broad global economic uncertainty played a role. The UN's Department of Economic and Social Affairs stated in their midyear update, the world economy is at a precarious moment, heightened trade tensions and policy uncertainty have meaningfully weakened the global outlook for 2025. We felt that uncertainty across most of our business from travel and consumer spending to cross-border remittances and payment processing. That said, we view these challenges as transitory headwinds, not long-term obstacles. The underlying fundamentals of our business remain strong, and we expect these pressures to ease. On top of the global uncertainty impacting all 3 segments, immigration policies in the U.S. and other countries have pressured the Money Transfer segment. The tightening of immigration reform, added enforcement and delays in work authorizations, which most of us in the U.S. see often in the press, have slowed cross-border remittances. But there are reform actions in other countries, most of us don't see. U.S. transfers to Mexico, a quarter that represents about 10% of our global remittance volume has seen the strongest pressure. In the third quarter, transactions in that quarter were flat compared to last year, which is unusual, given the consistent growth we've historically seen. While these policy changes have clearly weighed on our results, we believe they too are transitory in nature, and we would expect volumes to rebound once these conditions stabilize. Now we can't control the timing of these external factors, but we can control how we execute and invest for the future. I recently spent some time with our global leadership team and the energy in that room was unmistakable. From new market expansion and a strong pipeline for Ren and Dandelion to exciting work integrating AI into our operations and expanding our stablecoin on-ramp and off-ramp capabilities. All right. Let's move on to Slide #11, we'll talk about the quarter. Slide 11. This slide provides a high-level view of how and where we will drive our growth strategy into the future. As a reminder from our discussions over the past year, our business model is really built on 2 key revenue pillars, payment and transaction processing and then cross-border and foreign exchange, which drive our growth opportunities that continue to expand as payments become increasingly global, digital and flexible. The first pillar is payment and transaction processing, with which we facilitate high-volume transactions for banks, merchants and brand partners, continually expanding our use cases to stay aligned with evolving demand. During the quarter, we signed additional new merchants in our merchant services business continue to move forward to complete the acquisition of CoreCard and signed a new Ren and strategic network participation agreement. We'll get into more detail on these exciting deals later in the presentation. The second pillar is cross-border and foreign exchange, which powers our FX-related use cases and distributes FX services through both owned and third-party channels across both physical and digital touch points. This forms the foundation of our global money transfer business and the innovation behind our Dandelion platform, which delivers real-time cross-border payments to bank accounts, cards and digital wallets worldwide. In the third quarter, we signed a major new Dandelion partnership with Citigroup, enabling Citi's clients to make near instant full value payments into digital wallets across multiple markets. This agreement reinforces Dandelion's position as the world's largest real-time cross-border payment network and highlights the value global banks plays in our platform. During the quarter, we entered into a new partnership with Fireblocks, the leading digital asset infrastructure provider. This collaboration establishes an important element for our digital asset strategy, enabling interoperability with blockchain systems for faster, more efficient money movement. It also supports stablecoin-based remittances, consumer wallets and real-time settlement, advancing our long-term vision for integrating digital assets into our network. Now let's move on to Slide 12 and discuss our stablecoin use cases. A lot of people talk about stablecoin, but they don't quite know what they're talking about. Here's what we're doing. The passage of the GENIUS Act marks an important milestone for digital assets. It legitimizes stablecoins within regulated financial frameworks, bringing much-needed clarity to the industry. While Euronet was blockchain ready well before this legislation, this new framework opens the door for established players like us to responsibly integrate blockchain technology for stablecoin or tokenized payments across our global payment ecosystem. Through the utilization of our on- and off-ramp capabilities, including the ability to use our global ATM network to convert stablecoins into local currency, we're enabling customers and partners to move seamlessly between digital assets and fiat currency. In practical terms, this means that consumers can instantly convert digital assets to fiat currency to pay for everyday essentials, things like groceries, medicine, rent, utilities, through our trusted payout network. By combining our Ren and Dandelion platforms with the global reach of our Ria and XE distribution networks, we are making digital money usable everywhere securely and at scale. We plan to launch our first set of stablecoin enabled use cases in the first quarter of 2026, beginning with treasury settlement, cross-border transfers and consumer cash-out functionality in select markets. These pilots will demonstrate how our network and bridge, digital and fiat ecosystem, in a safe, compliant and practical way, creating new efficiencies for our partners and new choices for consumers. Finally, we'll leverage stablecoins or tokenized payments within our treasury operations to move funds between accounts and jurisdictions faster and more efficiently, reducing idle cash and enabling always on settlement. In summary, while we move money fast today, stablecoins will bring even more efficiencies and create new opportunities. I'm really excited to leverage our industry-leading global on- and off-ramp assets to deliver real-world stablecoin use cases to the world. Now let's go on to Slide #13. Slide 13, the EFT segment. It's comprised of 3 key components: banking services, the Ren Payments Platform and merchant services, each plays a key role in driving both transaction growth and digital expansion across our global payments ecosystem. Our banking services continued to have steady growth, reflecting the strength of our value proposition for consumers, financial institutions and merchants. In Poland, we expanded our footprint by adding 3 new merchant partners to support ATM deposit functionality. In the Philippines, we signed an ATM outsourcing agreement with Banco de Oro, the largest bank in the Philippines. And as we move on to Ren, on the heels of our agreement with a top 3 U.S. bank, we continue to gain momentum. This quarter, we signed a software licensing agreement with IDFC First Bank, one of India's leading private sector banks. Under this agreement, Ren will power the bank's ATMs, debit cards and transaction switching through a unique AWS architecture, the first of its kind in India. With the pending acquisition of CoreCard, we'll extend further into credit processing with provable, scalable, revolving credit technology. Together, Ren and CoreCard position us to deliver a full suite of real-time cloud-based solutions across issuing, acquiring and credit management. While subject to completion of the pending merger, the response from our customers and sales prospects has been very, very encouraging. Now here are a few comments on our merchant services business. This quarter, we processed the highest number of card transaction volume since the acquisition and added 7,000 new merchants. These results reflect continued momentum in our acquiring business and highlight how our digital initiatives continue to shift our revenue mix. Overall, it's been an exciting quarter for the EFT business with the combination of continued market expansion and the pending CoreCard acquisition, we're well positioned to deliver sustained growth. Now let's move on to epay. As you know, epay is a leading global provider of payment processing and prepaid solutions, specifically focused on connecting brands to consumers through innovation and our expansive distribution network. Our brand partners include the biggest names in tech, Apple, Google, Sony, Microsoft, Amazon, to name a few, along with thousands of others. Through a platform-as-a-service model, epay enables retailers, mobile operators and brands to manage transactions, payments and content in a manner that best aligns with their customer base. Increasingly, consumers are embracing the convenience of a fully digital experience. Today, about 70% of all epay transactions are digital, flowing across e-commerce merchants, digital banks or leading financial wallets around the world. As digital grows, epay continues to invest in security, scalability and compliance to offer the most trusted service in the industry to consumers, brands and merchants. During the quarter, we had several notable signings and launches that further expand epay's global footprint and strengthen our partnerships across digital content and payments ecosystem. On the success of our proprietary Prezzy Card in New Zealand, we launched Giftzzy, epay's own-branded non-reloadable open-loop Visa card in Australia. We expanded our partnership with Epic Games, introducing fixed denomination cards that enhance how players purchase digital content. Previously, users could only purchase Fortnite in-game currency called V-Bucks. Now users can use this card to purchase all content available in the Epic Game Store. We signed a new distribution agreement with Riot Games in India, broadening our reach with one of the world's fastest-growing gaming market. We also signed a gift card distribution agreement in Mexico with Mercado Libre, Latin America's largest e-commerce and marketplace platform. In our payment processing business, we continue to see strong momentum. We're cross-selling payment services to our existing epay content distribution merchants, both retail and online, and that strategy is paying off. Revenue from payments grew 27% year-over-year, reflecting the strength of our omnichannel approach. The pipeline remains robust with several exciting deals we expect to close in the near future. Now let's move on to Slide #15, and we'll talk about Money Transfer. As I mentioned earlier, changes to immigration policy and broader economic challenges weighed on our Money Transfer segment's revenue and transaction growth this quarter. However, as Rick mentioned, Ria continued to outperform the broader market decline to Mexico by 12%. Despite these near-term headwinds, we remain confident in Ria's ability to outpace the market, supported by its strong fundamentals and differentiated business model. Our omnichannel approach, expansive geographic presence, channel diversity and industry-leading real-time payments network set us apart from both digital-only and legacy multichannel competitors. This foundation differentiates us from our competitors and positions us well to capture new opportunities in cross-border payments, particularly through our Dandelion strategy, which continues to gain traction. Building on this momentum, as previously mentioned, we announced a new collaboration between Dandelion and Citibank. This partnership enhances the city's cross-border payments and remittance offering and expands its reach into the business to consumer uses such as payroll, social benefit and gig economy payments. We also launched Dandelion's service with Union Bank, the tenth largest bank in the Philippines and will soon launch Commonwealth Bank in Australia, another top 50 global banks. This and several other signings and launches during the quarter further validate Dandelion's role at the center of a faster, more modern global payments ecosystem. Within the remittance space, our digital business continues to perform well. Direct-to-consumer digital transactions grew 32% year-over-year and now represents 16% of total money transfer transactions, demonstrating continued adoption of our digital channel. Ria also achieved a key retail win this quarter through an exclusive partnership with Heritage Grocers Group, which operates 115 Hispanic-focused grocery stores under brands, including Cardenas Markets and Tony's Fresh Market. This was a competitive win and followed a successful mid-September launch. We are excited about the growth prospects with this partnership. On the network side, I want to briefly highlight again the partnership with Fireblocks and what that means for our Money Transfer segment. This collaboration will unlock interoperability between traditional and blockchain systems for faster, more efficient money movement. Within Money Transfer, this infrastructure will support stablecoin-based remittances on- and off-ramp capabilities, consumer wallets and real-time settlements advancing our long-term vision for integrating digital assets into our network. Bear in mind, these on- and off ramps are not easy to build. They're built one by one, a real advantage that we are excited to leverage. With that, we'll move on to the numbers -- to Slide 16, and we'll wrap up the quarter. As we wrap up, I'd like to highlight the growing traction across our Ren and Dandelion initiatives. While these opportunities often evolve long sales cycles and reference customers, our recent wins with Citi, the Commonwealth Bank of Australia and a leading U.S. bank demonstrates that our investments are paying off. We're entering a phase of accelerated adoption, and there's a lot to be excited about, including we delivered a record-setting third quarter results with adjusted EPS of $3.62, a 19% increase over the prior year. We continue to make steady progress towards completing the CoreCard acquisition with CoreCard shareholders scheduled to vote on the merger next week, an important milestone in expanding our digital payment capabilities. In August, we completed a $1 billion convertible debt offering at 0.625% interest rate maturing in 2030. The proceeds strengthened our balance sheet and increased our flexibility to pursue strategic growth opportunities. We signed a new partnership with Citibank, which will enable Citi's institutional clients to deliver near instant full value payments into digital wallets around the world through our Dandelion network, further validating Dandelion's leadership in real-time cross-border payments. And finally, we entered into a strategic agreement with Fireblocks, a leading digital asset infrastructure provider to bring blockchain stablecoin technology within Euronet's global payment network positioning us at the forefront of the next generation of financial connectivity and opening new and exciting opportunities to leverage our world-class on and off ramps. Together, these achievements demonstrate the continued strength, adaptability and innovation of Euronet's global payments network. As we look ahead, we are confident in our strategy, our technology and our ability to deliver sustained growth well into the future. We are looking forward to the fourth quarter. And once again, we are pleased to reaffirm our earnings expectations of 12% to 16% growth for the year. With that, I will be happy to take questions. Operator, would you please assist?
Operator: [Operator Instructions] Our first question comes from Vasu Govil with KBW.
Vasundhara Govil: Maybe to start off, Rick and Mike, if you guys could help unpack the slight softness in the EFT segment. It sounded like the travel trends you saw in Europe were pretty solid, but maybe there were some differences in spending patterns. So just trying to understand if the weakness was all in the ATM business or elsewhere like in the merchant acquiring and then whether it was transaction slowdown or just the transaction value slowdown? If you could help us unpack that, that would be helpful.
Michael Brown: Okay. So first of all, all the data that we're getting from every place basically says that people are being very careful on their -- with their vacation spend, with hotels costing 40% more than they did in '19, airplane flights 50% more at least than they did in 2019 when people land, they have a little less money to spend. And then on top of that, there's a lot of worry across the world in the economy. So people are just being a little bit careful. So we've seen -- the nice thing about the -- we've seen that more in the ATMs. We actually have seen some of that too in merchant acquiring, but it's just our merchant acquiring, it's kind of growing like a band sheet. So we don't feel it quite as much there. But certainly, in the ATM business, people are just basically spending less, and then we see that at the ATMs.
Vasundhara Govil: Got it. And then on the Money Transfer segment, I know immigration policies have been changing, and that's been a headwind in the industry, but you guys were actually bucking the trend up until last quarter. I recall you had a very strong 2Q. And I think you had called out July trends were actually improving versus June. So it would seem that most of the deterioration happened in August and September. So any color on the exit run rate, what you're seeing in October and sort of what changed...
Michael Brown: Well, so we've seen that -- Vasu, we've seen that a little choppy. We said, yes, July looked good, and then sure enough, the next month or so, it went down. And like we landed where we landed and we're seeing October much stronger than we saw in September. So I think it's choppy, is the answer. I don't think I can tell you for sure what's going on, but it smells better right now. But it did last quarter at the same time. So we're just being cautious. We're 3 weeks in, and we're beating our forecast as we sit. We are growing many times faster than the industry is growing, and so many percent faster than the industry is growing. And in particularly, the largest quarter from the U.S. is obviously to Mexico. With that down 12%, and that's flat, I'd call that a win. So as this stuff settles, we'll be still be well positioned. And I think bucking the trend makes sense. I mean, we bucked it last time by about 8%. I think the industry was down in the neighborhood of 3% or 4%. We were up 5% or 6%. So we bucked the trend again last quarter. We are doing the same thing this quarter, but the trend is down.
Operator: Our next question comes from Gus Gala with Monness, Crespi, Hardt.
Gustavo Gala: You talk a little bit about pricing intra-quarter in Money Transfer. It seems like there were pricing drops in certain quarters, Mexico being one of them, U.S. to Mexico. Is there maybe a return to a less rational pricing environment? And if that's the case in the past, I think we saw it coming more so from smaller marginal players, how has this evolved? Maybe you can comment on how it looks along the vertices of digital versus retail and then domestic versus abroad? And I have a follow-up.
Rick Weller: Yes. I would say on pricing, pretty consistent with what we've seen over time. There's pockets where it's a little bit more. I would tell you, we probably saw a little bit more of that in some of our Middle East kind of areas there, where a couple of -- and that's also kind of impacted a bit by the unusual nature of some of the black markets and how some of those currencies move in some of those markets. So that's where we've seen it a bit more. But on -- overall, on average, we had pretty consistent on a year-over-year basis in terms of revenues and gross profits per transaction. So I think our team did a nice job kind of balancing a little bit more the pricing pressure, like I say, in a couple of those markets with a little opportunity in some others. So net-net, it didn't show up in any kind of a meaningfully adverse way in the third quarter.
Gustavo Gala: Got it. I appreciate that color. And then a similar line of questioning on Money Transfer just as the growth picked up from 29% to 32%. Over time, what do you think penetration of the transaction base could be digital? I think right now, it's about 13%, if you take the 6 million or so transactions.
Michael Brown: I think our goal is to get our growth rate higher than 32%, and they're closer to 40%. That's our goal. And the nice thing is we're doing this without spending an absolute fortune. What people don't realize us compared to a pure digital player is when you walk through the immigrant neighborhoods, there are Ria plastered signs on all these little bodega windows. And so we've got a great marketing conduit there that's very reasonably priced. And so we hope to do better than 32%, but you're right. We watched ourselves grow from 30% or 29% to 32%. We hope that continues. And we're going to keep investing in it because it seems like those customers, their lifetime value is wonderful for us.
Rick Weller: Yes. And we've gone from essentially -- well, we've gone from 0 to as we pointed out earlier, about 16% of those transactions are digital now. There are varying views as to what the market is out there. But let's say, in the 30% to 35% of the total business. And so we certainly have our goal set at getting to that mark. And as Mike said, as we grow in the 30-plus percent range, you could see how within a reasonable period of time, we could be at that level. So lots of growth ambition here. We'll have to see if the market continues to move farther up that, let's call it, roughly 1/3, that's more digitally oriented. In some cases, we're quick to think that customers will want to quickly use a digital product because it's easy, it's convenient. On the other hand, we know from talking with customers that not all customers want to use the digital product. They -- you have to remember the customer comes from a lesser developed country. They haven't used financial products like this before. They're not as comfortable with security and things like that. And so we have a lot of customers tell us we really like the over-the-counter product. We -- that's the way we prefer to do business. So we've got a business that's designed at delivering a product that the customer wants. We want to give them the product that's the most efficient for them. We'll continue to focus on that. But we just have to bear in mind that some customers out there absolutely want the product that we're doing a great job of delivering today.
Michael Brown: And this is a great point. I mean what people don't get is that digital money transfers have been around for 20 years for 2 full decades and still the total penetration is about 35% of the market. Why is it after 2 decades that we can only get to roughly 1/3 of the potential transactions, I think it's consumer preference. So we want to make sure we're an omnichannel player. We're going to play it both ways. We're going to take people. We get a lot of our customers who are digital that actually go back and forth between, I think it was 13%, 14% of our digital customers go back and forth between physical and digital.
Operator: Our next question comes from Mike Grondahl with Northland.
Mike Grondahl: Revenues been decelerating this year, 9% in 1Q, 6% constant currency in 2Q and then 1% in 3Q. How do you want people to think about constant currency revenue 4Q in '26? Anything to call out epay promotions or anything? Can you just talk through that a little bit?
Michael Brown: Well, all I can tell you is that our bottom-up forecast for Q4 look like it's turning around the other way. Now we'll see if that all comes through, but we've got early indications in October that it seems to be. So maybe we're through the worst of it, we'll find out.
Mike Grondahl: Got it. And if you had to say, it looks like money transfer was the most pressure, and you've called out the immigration stuff. What would you put in the second and third bucket is where pressure really existed?
Michael Brown: It's economics. I mean let's not -- so let's just say immigrant policy was exactly the same as it was 3 years ago. The reality is, with inflation going up, everything costing more, people are sending back less money or doing it less frequently because they just have less money. When the economy is strong, this is something you'll notice for all that's money transfer company. When the economy is strong, all our numbers go up. When the economy is weak, all our numbers go down. It really doesn't matter. So we've got a weakened economy now. And there -- and people are worried because some forecasters are predicting that it's going to get even weaker. So that's what's working against this.
Mike Grondahl: Got it. And hey, post the convert transaction, and I know CoreCard is closing soon. How are you thinking about buyback versus acquisition?
Michael Brown: I think it's the same as we always have, Mike. The reality is we look for good accretive acquisitions, ones that can add to our strategy and if we can't find those, then we will look to share buybacks if we believe that our stock is undervalued and it is now, so we just have to look. And the nice thing is we're seeing opportunities. We basically bought back the shares that are required for the CoreCard acquisition, we bought those back in the second quarter. So net-net for the year, it's really no impact. So -- but we kind of look at it every quarter and we say, okay, we threw off a little over $100 million in positive cash in quarter? What do we have on the plate for potential acquisitions? And if we don't see anything, then we will -- and our stock is undervalued, we'll look at buying back stock. We've got opportunities all over the place. I mean we've got them in Ren, we've got them in Dandelion, we've got them with CoreCard. Its a big one here that we're doing. We've got some acquiring things we're looking at. So I'm hoping that we can continue to spend -- what we've done is spend like -- Rick said, we spent 85% of our positive cash flow over the last 4 years on stock buybacks. I'd like to -- to me, a better balance might be 50-50.
Mike Grondahl: Got it. And then just lastly, quick on the CoreCard. You're going to be issuing, is it about 2.5 million shares for that?
Rick Weller: 2.3.
Operator: Our next question comes from Charles Nabhan with Stephens.
Charles Nabhan: I wanted to drill into your comments around epay. Specifically, I think you had mentioned that aside from the headwind, that segment would have grown in line with operating income, which is roughly 4%. So I guess, first, if my math is correct, that equates to a roughly $15 million headwind from the discontinuation of that business? And then secondly, I wanted to confirm that. And then secondly, if you put that aside, it's still growing by mid-single digits, which is below trend. So I wanted to see if there was anything going on from a promotional standpoint that was lower this quarter? Or if we should think about that mid-single-digit trajectory is sort of the normalized growth rate for epay?
Rick Weller: No, I think first of all, I think you've got the math roughly right there. And then as Mike said, we feel a little of the economic pressure here, too, because a lot of the folks that purchase the epay product, it essentially is discretionary spend purchasing stuff. Gaming, entertainment and things like that. So kind of at the edge, if that takes off 2%, 3% or 4%, that kind of keeps you from being at that kind of upper single-digit growth rate rather than kind of a mid-single-digit growth rate. So that's kind of what we see. And most -- almost all of what we have in our epay business is outside of the United States. So those are economies that we don't see as much around here in the press. But it's the Asian economies and things like that. Some of these economies have the reciprocal effect of things like tariffs, if you think about it. Here you think tariffs are adding cost into the picture. Over there, it might be that tariffs are reducing the amount of sales that they're able to do, and that impacts jobs and things like that. And so we've seen that in that part of the business. So I don't see anything fundamentally in there. There wasn't anything different really on the promotion side of the business. And as we pointed out in here, we're making a lot of good headway signing up some alternative things with like the gaming community. There were some changes in that business whereby certain parties weren't allowed to restrict people's ability to use credits and things like that. We anticipate another party that's going to break open like that, too. So we see some movement in that area. Also, if you just take a look at the -- I'll just call it the entertainment gaming world there, you may or may not know, but those numbers now exceed the video, the movie industry. So we see good opportunity in that business, but I think we've just kind of felt a little of that pressure on the economy there as well.
Charles Nabhan: Got it. And as a follow-up on Money Transfer, are you seeing your customers send larger balances at a lesser frequency? And then secondly, you had characterized the conditions as transient, particularly around the U.S. Mexico corridor. And I know it's tough to pin down the timing of that, but what gives you the confidence that we're going to move past this. Are you seeing anything in the data that just kind of gives you that confidence? Or are you having conversations with your customers or even regulators that just kind of gives you the confidence that we could eventually move past this over the next couple of quarters?
Rick Weller: Well, I think it gets down to some real macro perspectives on the economy. And you've even seen some of these kind of things play out as the border restrictions have tightened in this new administration is not only the United States, but all developing -- developed countries, are essentially seeing population declines, they're seeing the need to have labor come in and support their economy. In the United States, we have a very strong need for labor in several industries. You could see it play out in, for example, the farming industry, where there were special appeals made so that there would be, let's say, potentially less pressure on migrant labor to help with crop harvesting and things like that. So we've seen kind of a little bit of that reaction where the administration has said, oh, okay, yes, we do need -- and they obviously acknowledge that we do need that type of labor to support this economy. You look at the estimates of immigration around the world. And again, like I say, in other developed economies that need it, we talked recently in the second quarter with the acquisition of this small business in Japan, another economy that is dependent upon having migrant labor come in to help in that market. So those are the things that we look to, to say, we believe that it will be migratory. The -- and then the transitory -- I'm sorry, not migratory, figure out which tories I'm talking about here. But that's what kind of gives us that view. And it's not different than if we look to the past 18 years that we've had the real Money Transfer business. We will see some ebb and flows in terms of what happens to different administrations and things like that. But at the end of the day, these economies are dependent upon these types of labor sources, and we feel that it will resume.
Operator: Our next question comes from Darrin Peller with Wolfe Research.
Daniel Krebs: This is Daniel Krebs, on for Darrin. If we could move back to the EFT Segment. I'm looking at ATMs growing pretty consistently, 4% to 5% overall this year. Could you unpack that by geography a little bit? What portion of that is driven by non-European ATMs?
Rick Weller: It was a little heavier weighted towards the non-European side. And as you may recall, a number of our prior discussions as we continue to expand. Today, we called out places like Morocco, Egypt, some places like that. We see opportunity there. We were hoping to make a little more advancement in some of the South or Lat Am markets, one in particular. And then the sponsor bank we were using was the U.S. put a hold on doing business with that bank. So we had to scramble and change sponsor banks, which we've successfully done. And so it will now come back into the fold. But net-net, a little more biased towards the non-European side.
Michael Brown: And let's not forget, too, that the non-European side throws off considerably more profit per ATM on average than the European one. So but they're a bugger to get into because you've got to get a sponsor bank. You've got to let the central bank has to give you authorization. You've got to find your source of cash. It's not like Europe where one license gives you access to all the markets. So it takes a while to do it, but they're very lucrative countries.
Daniel Krebs: Got it. Understood. And then if we sort of extrapolate these trends, if you look out 5 years from today, Mike, do you envision having fewer ATMs in Europe than you do today for perhaps the trend is offset by more outsourced banking deal...
Michael Brown: So that's an interesting thing. So on one hand, I would say if transactions continue to be stressed on how much people are spending and so forth, we may take a hard look at every one of our ATMs and just make sure that we call the ones that aren't profitable enough in Europe, and that could happen. On the other hand, we see another where we've seen that a number of countries and banks use us as an extension of banking infrastructure. It's not a tourist game anymore. You take a look at Spain, we had 2,000 ATMs in Spain, and then they were -- then they added a surcharge in Spain and then all the banks there wanted to have wholesale access to those ATMs because the central government was forcing the banks to give cash access, yet a number of the biggest banks in the market had combined and they closed a bunch of branches. If you want to look, Google it up, but you can look at the term cash desert all across Europe. Branches are closing. And so government are requiring banks to give easy cash access to people and work like the last man standing who has a good national ATM network. So we're basically being paid by the banks to do that requirement for them. So now in Spain, we have 4,000 ATMs, where we probably would have stopped at 2,000. So we've got some -- every market is a little bit different. So you could see in some markets, we might cull some ATMs, other markets, we might have an opportunity because we're playing the bank infrastructure game, which, by the way, is not tourist-based, like I said, and not tourists. You don't have to worry about how many -- how much the tourist spend because they just want x amount of ATMs that they have access to. That's a pretty good game for us. I think we have maybe one question left, operator.
Operator: This question comes from Rayna Kumar with Oppenheimer.
Anthony Cyganovich: This is Anthony Cyganovich, filling in for Rayna. Rick, you had mentioned some immigration impact in other markets outside of the U.S. in regards to Money Transfers. Is there any color you can give on which other corridors you're seeing a little bit of softer growth?
Rick Weller: Well, now you're talking about, okay, corridors because some of these markets go across several of the corridors. We've seen some stuff like into like the Bangladesh area, like so transfers into those areas, the Pakistan type of areas and a little lighter transactions going into places, like Turkey. And if you kind of map some of those corridors with countries like Germany and U.K., you could see that they've got some immigration actions going on, some different positions that are being taken there. But those are kind of some examples of what we've seen out there.
Anthony Cyganovich: Okay. Got it. That's helpful. I guess my follow-up question is, if you guys look at kind of these macro and policy-related challenges persisting over the next few quarters. I mean, Euronet historically has been a double-digit EPS grower throughout its history. I mean do you feel like this is -- if this persists, Euronet can still generate double-digit EPS growth in 2026?
Michael Brown: Absolutely. Absolutely. I mean we've got so many things going on. We've been doing this for 20 years. We've had 1 year that we didn't do that out of 20 years -- 30 years, actually. And we see a lot of opportunities. I mean, we've got CoreCard hopefully, that if their shareholders vote for that. There's a lot of opportunity there. We kind of see it across the board. There are several other things we announced in these quarters do not kick off revenues instantly, but over time, they do, and that's what we're feeling comfortable about.
Rick Weller: Yes. And let's kind of put in perspective the quality of the assets that we have in our business, okay? We've got operations literally around the world. We serve customers in different types of segments. We're moving much more rapidly towards digitization on everything, as we've shown you in the past, ATM, the money that we -- revenue we make off of ATMs is less than 20% of our consolidated revenue, with additions into our business like CoreCard, which opens up a new channel, a new product for us to sell. And it really has been -- it's really been exciting to see the energy coming from the sales team that have talked with folks about the credit product that we're going to be offering. And that's not in the United States. It's outside the United States, where credit has not been as highly exploited as it has been here in the United States. And so these fintechs and banks, they see real opportunity in that. Mike talked about the stablecoin. I think we're on the front edge of seeing something happen. And again, look at the quality of our asset infrastructure with our on- and off-ramps. You can throw some code together to do a blockchain transaction pretty quickly. But you can't throw together a network that's got 4 billion bank accounts connected to it, 3 billion wallet accounts, over 600,000 places to be able to pick up money or send money. We've got an enviable on- and off-ramp network that can really be leveraged with the advances in tokenization or stablecoins or things like that. And that's really been what you've seen over the life of Euronet. When we had picked up the epay business, I'll just recount that it used to be that it was 100% mobile top-up. It's now more than 70% non-mobile top-up, it used to be 100% at the retail. It's now more than 70% transactions are going through digital. So we've got this wonderful asset base here. We see some things happening on the horizon that really give us the advantage to go after that in a great way. And it's not restricted to any particular geography. We've got great technology that underpins all of this. So yes, I mean, Mike's comment, do we -- are we able to keep this? We don't see that there's any reason that we shouldn't be able to continue our history of double-digit earnings growth.
Michael Brown: Thank you, everybody. I think that's it. Thank you, everybody, for joining today. Operator, you can close down the call, but thanks a bundle. See you next time.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.